Operator: Good day and thank you for standing by. Welcome to the Q4 2023 Berry Global Group, Inc., -- excuse me -- Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there'll be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to Dustin Stilwell, Investor Relations. Please go ahead.
Dustin Stilwell: Thank you, operator, and thank you, everyone, for joining Berry's fourth fiscal quarter 2023 earnings call. Joining me from the company, I have Berry's new Chief Executive Officer, Kevin Kwilinski; and Chief Financial Officer, Mark Miles. Following Kevin and Mark's comments today, we will have a question-and-answer session. In order to allow everyone the opportunity to participate, we do ask that you limit yourself to one question with a brief follow-up, and then fall back into the queue for any additional questions. A few things to note before handing the call over. On our website at berryglobal.com, you can find today's press release and earnings call presentation under our Investor Relations section. As referenced on Slide 2, during this call, we will be discussing certain non-GAAP financial measures. These measures are reconciled to the most directly-comparable GAAP financial measures in our earnings press release and presentation, which were made public earlier this morning. Additionally, we will make forward-looking statements that are subject to risks and uncertainties. Actual results or outcomes may differ materially from those that may be expressed or implied in our forward-looking statements. Some factors that could cause the results or outcomes to differ are in the company's latest 10-K, other SEC filings and our news release. And now, I will turn the call over to Berry's CEO, Kevin Kwilinski.
Kevin Kwilinski: Thank you, Dustin. Welcome, everyone, and thank you for being with us today. I would like to begin this morning by expressing my excitement as I embark in my new role as CEO of Berry. I look forward to working with our customers, suppliers, investors and our employees to build on this great company that has been growing over many years. I want to congratulate Tom on his retirement. Tom had many accomplishments as CEO over the past six years and was an industry leader around sustainability and the pursuit of a net zero economy. Through my first 50 days here at Berry, I've been working diligently with our team and Board to build upon Berry's value creating opportunities by bringing new approaches and incremental focus to drive organic growth and process improvement-led productivity gains. I look forward to visiting more of our manufacturing sites around the world to get a better understanding of our vast capabilities, and to accelerate the sharing of best practices across our footprint. With a proud 56-year history and a reputation for excellence in the packaging industry, I believe that the future is extremely bright for Berry. My excitement continues to build as I learn more about our opportunities, and I look forward to communicating our strategy, execution plans and accomplishments with you in the coming weeks and months. This morning, we have several topics to cover with you, including our fourth-quarter and fiscal-year results, our perspective on the overall market conditions around the world, and our outlook and plan for fiscal 2024. Turning to our key takeaways for the quarter on Slide 4. Berry delivered solid full-year results for fiscal 2023, exceeding the expectations provided on the last call. We set another record for adjusted earnings per share and we beat our free cash flow guidance by over $100 million. Additionally, the company returned $728 million to shareholders through share repurchases and dividends. Our organization demonstrated its agility through both pricing and cost actions to partially offset the challenging and volatile global market dynamics characterized by ongoing inflation, soft consumer demand, and customer destocking. The company's ability to maintain guidance for the fiscal year and to meet or exceed each metric under these circumstances is a strong example of why I am excited to lead Berry. The teams did an excellent job implementing proactive and decisive actions, while pricing to recover inflation and stepping up their intensity and focus on our cost-reduction efforts to drive productivity benefits, including structural plant closures, labor management and asset optimization, all the while making strategic investments in high-growth markets such as food service, health and beauty, dispensing and pharmaceuticals with a strong focus on sustainability-linked customer projects. As you are aware, in September, we announced that we have initiated a formal process to evaluate strategic alternatives for our Health, Hygiene & Specialties segment to provide ways to drive long-term value to shareholders, which includes continuously evaluating our portfolio to ensure the company is best positioned to execute our strategic objectives. We will remain a trusted supplier and partner to our customers and colleagues around the world in this segment. While there is no certainty on any formal decision or definitive timetable, we will provide updates if and when appropriate. Next on Slide 5. I want to emphasize our substantial levers to drive consistent, dependable and sustainable organic growth. Berry's combined efforts include our ability to deliver continual cost improvements through scale advantages and innovation capabilities and provide confidence that we will consistently deliver solid earnings growth from our stable portfolio of businesses. Our strategic investments particularly in key end-markets like healthcare, personal care/beauty and for foodservice allow Berry greater differentiation leading to long-term sustainable growth. These markets also offer higher growth and higher margins providing positive mix benefits for our overall portfolio. Our emerging market presence is also expanding supporting our commitment to global growth. Moreover, we are passionate about innovation and sustainability utilizing our product design leadership to continuously develop products that meet our customers' needs and expectations. Our European leadership around sustainability gives us a global growth platform for innovative sustainable-focused products. The summation of these targeted investment areas will support growth in our stable, non-cyclical consumer-focused markets from 70% of our portfolio to our goal of over 80% long-term. And before handing over to Mark, I want to discuss Slide 6, and some of our specific focus investments for growth. Berry remains deeply invested in both innovation and sustainability, which provides us with a strong competitive advantage. This product differentiation in these specific areas will drive our ability to take share from other substrates. We are investing in several markets and product categories that we expect to drive long-term organic growth, which complements our ongoing efforts of building an increasingly resilient portfolio of products, including a few of those, which we have highlighted on the slide. The increasing demand for sustainable packaging solutions aligns with our design capabilities in producing and sourcing recycled resins globally. Our leadership in these areas position us for higher-growth opportunities, supporting long-term value-creation for our customers and shareholders. Now, I will turn the call over to Mark, who will review Berry's financial results. Mark?
Mark Miles: Thank you, Kevin. Turning now to financial results highlights on Slide 7. We saw both volumes and earnings modestly surpass our expectations communicated in the previous quarterly call, while cash flow came in much stronger. Our dedicated teams have executed exceptionally well, achieving a positive price-cost spread by implementing robust cost reductions and optimizing our product mix across our businesses. This strategic focus helped counter the challenges of soft market demand caused by inflation and destocking initiatives. As volumes recover, we would expect an incremental benefit to earnings on more efficient assets. For both the quarter and the year adjusted earnings per share increased by 1% versus the prior comparable period with operating EBITDA essentially flat. It's worth mentioning that fiscal year '23 marked Berry's 11th year as a public company. And I'm proud to say, we have increased adjusted earnings per share every single year. Free cash flow increased 6%, finishing at $926 million for fiscal '23. Our global teams delivered significant working capital savings to fund additional capital investment and restructuring costs that will generate future earnings. Over the course of the year, we returned $728 million to our shareholders through a combination of share repurchases and dividends. Including both our fiscal '23 and '22 share repurchases, we have reduced our total shares outstanding by more than $22 million shares, or 17% of our total shares outstanding. Simultaneously, we remained committed to strengthening our balance sheet and our substantial cash flow and earnings stability allowed us to reduce our debt leverage ratio by four-tenths in the fourth quarter. In fiscal '23, we lowered our long-term leverage target to 2.5 to 3.5 times, and end of the year, as expected, at 3.7 times, setting us on course to be within our targeted range by the end of fiscal '24. I would like to refer everyone to Slide 8 for our quarterly performance by each of our four operating segments. The segment we review will focus on the year-over-year changes for fiscal Q4. Starting with our Consumer Packaging International division, revenue was down 6%, primarily from softer consumer and industrial market demand, partially offset by improved product mix to higher-value products. EBITDA was up 3% versus the prior-year quarter, driven by our cost-reduction efforts along with improved product mix by increasing our presence in healthcare packaging, pharmaceutical devices, and dispensing systems. We continue to recover cost inflation through pricing actions and cost-reduction initiatives while driving revenue growth from our sustainability leadership. Next, on Slide 9, revenue in our Consumer Packaging North American division was down 13%, primarily from lower selling prices due to the pass-through of lower resin costs in the United States along with softer overall demand, mainly in our industrial markets, partially offset by growth in our foodservice and consumer-container markets. For the full year, we delivered strong results in our foodservice product line, including double-digit growth as we continue to see conversion from paper and foam to our fully recyclable clear polypropylene cup. EBITDA was flat compared to the prior year quarter, primarily driven by our cost reduction efforts and our focus on higher-value products such as foodservice, offset by softer market demand. And on Slide 10, revenue in our Engineered Materials division was down 16% due primarily to lower selling prices from the pass-through of lower resin costs in the United States and volume softness, primarily in European industrial markets, partially offset by growth in our consumer and custom film markets in North America. Volumes were also impacted by our focused effort to mix up in certain categories like consumer and transportation films. Consequently, our sales and advantaged higher-value products has moved from around 25% of Engineered Materials' portfolio in 2018 to now over 40%. EBITDA for the quarter was modestly lower, primarily related to softer overall customer demand, which was offset by our continued and focused effort on improving sales mix to higher-value product categories and along with the growth in our North America consumer and custom films. On Slide 11, revenue in our Health, Hygiene & Specialties division was down 17%, primarily due to reduced selling prices from the pass-through of lower resin costs along with softer demand in several of our specialties markets such as building and construction and air and liquid filtration, partially offset by improved demand in our wipes and adult incontinence markets. Throughout much of the fiscal year, the business saw ongoing inventory destocking in the healthcare sector along with softer demand in many of our specialty markets. EBITDA was essentially flat versus the prior year quarter as structural cost-reduction initiatives and improved demand in our wipes and adult incontinence markets were offset by weaker demand in some of our higher-value, healthcare and specialty markets. Our consistent cash flows have afforded us the flexibility to deliver robust returns to our shareholders and as a key strength and core value of our company. It provides us the opportunity to invest in our businesses to grow and become more efficient, while returning capital to shareholders. As you can see on Slide 12, our capital allocation strategy is return-based and includes continued investment in growth markets, debt repayment, share repurchases, and recently increased quarterly cash dividend. During the year, we generated $926 million of free cash flow, 16% higher than our guidance and 6% above the prior fiscal year. This free cash flow was utilized to repurchase over $600 million of shares or 8% of shares outstanding, pay a $127 million in dividends, and reduce our outstanding debt by $400 million. As I mentioned earlier, given our strong dependable cash flow and earnings, we lowered our leverage target to 2.5 to 3.5 times earlier in the year as we continue to focus on driving long-term value for our shareholders. And we expect to be within our reduced range by the end of fiscal '24. In support of our ongoing commitment to further strengthen our strong balance sheet, already in fiscal 2024, we've extended $1.5 billion of our term loans to 2029, and have made voluntary prepayments of $200 million on our outstanding debt. We believe we're well-positioned for continued value creation. Our strong cash flows have allowed us the flexibility to drive robust returns for our shareholders. As demonstrated on Slide 13, Berry has reduced net debt by more than $3 billion since mid-2019, along with more than $1.5 billion returned to shareholders through both share repurchases and dividends in fiscal '22 and '23. In fiscal '24, we anticipate a balanced capital allocation utilizing our free cash flow for debt repayment, share repurchases and regularly quarterly dividends. By the end of fiscal '24, we expect that we will have returned an impressive $5.4 billion of cumulative net debt reduction and capital returns since fiscal '20. As you can see on Slide 14, Berry's history of driving top-tier results across various key financial metrics such as revenue, earnings and free cash flow highlights our consistent growth from the solid execution of our strategies. We remain committed to enhancing long-term value for all stakeholders by maintaining a stable and dependable portfolio. Our annual adjusted EPS CAGR of over 20% from 2015 to 2023 holds a leading position amongst our peer set and is well above the peer average adjusted EPS CAGR of 8%. This concludes my financial review. And now, I'll turn it back to Kevin.
Kevin Kwilinski: Thank you, Mark. Our fiscal '24 guidance and assumptions are shown on Slide 15. We expect to generate between $7.35 to $7.85 of adjusted earnings per share, which at the midpoint, would be another fiscal year record and our 12th consecutive year of delivering adjusted earnings per share growth. Given the modest seasonality in the business, we expect earnings to be modestly stronger in the second half of the fiscal year, similar to fiscal 2023. In our fiscal first quarter, we expect adjusted EPS to be similar to the prior year, driven by a modest impact from the timing of inflation pass-through and volumes flat to slightly down, partially offset by the benefits of our cost-reduction efforts. As Mark stated, as volumes recover throughout the year, we would expect an incremental benefit to earnings on more efficient assets. Given the easing of inflation and easier comparisons year-over-year, we expect volumes to improve as we progress through fiscal 2024. Additionally, we expect free cash flow to be in the range of $800 million to $900 million assuming cash from operations of $1.35 billion to $1.45 billion less capital expenditures of $550 million. Furthermore, and in line with our focus on driving long-term shareholder value, in fiscal 2024, we expect to prioritize repayment of debt to meet our leveraged target commitment, along with further share repurchases. We continue to believe our shares are undervalued and our repurchases reflect our confidence in the outlook of our business and long-term strategy. Lastly, it's worth noting that our Board of Directors in recognition of our business's resiliency, strong financial health and confidence in very future, has approved a 10% increase in our quarterly cash dividend, resulting in a new annualized rate of $1.10 per share. As you can see on Slide 16, our long-term targets emphasize the consistency and dependability of our model with EBITDA growth of 46%, adjusted EPS growth of 7% to 12%, and total shareholder returns of 10% to 15%. Berry has consistently met or exceeded its targets over the past several years, and we expect to continue doing so in the future. Additionally, our dividend is expected to grow annually and we aim to achieve our updated long-term leverage target by the end of fiscal 2024. In summary, our strategic priorities remain unchanged. Our entire global team's emphasis on working safely and servicing our customers remains our number one priority and has made us a stronger, better, and safer company. As you can see on Slide 17, we will continue to operate with agility as we navigate current market dynamics to deliver long-term sustainable growth. With a concentrated focus on driving more revenue through our sales and innovation pipelines, our commercial excellence approach is focused on increasing share of wallet with our customers. Additionally, we will drive non-CapEx productivity through world-class operational excellence to deliver conversion cost reductions over the long term of 2% to 3% per year, which will help to mitigate the impact of inflation and to expand margins. These initiatives, along with our strong cash generation, support our ability to ultimately drive strong returns for shareholders. And finally, we are optimistic about our outlook for fiscal 2024 as we anticipate positive impacts from the continued easing of inflation and the return of more normalized levels of customer promotional activity. In my short time here at Berry, I want to underline how grateful I myself, and the entire executive leadership team are for the hard work of our employees. And I want to commit to all of our stakeholders that we remain dedicated to building on our progress and delivering greater value in the years ahead. As you can see on Slide 18, we have delivered volumes at or above peer average from our strategies. Also by maintaining a lower leverage range and returning cash to shareholders together with our inclusion into the S&P 400 MidCap, we believe we'll continue to close the valuation gap presenting an attractive investment opportunity. Thank you for your support and interest in Berry. And with that, Mark and I are happy to address any questions, which you may have. Operator?
Operator: Thank you. [Operator Instructions] Our first question will be coming from George Staphos of Bank of America. Your line is open.
George Staphos: Thanks very much. Good morning everybody. Kevin, we look forward to working with you. Thanks for all the details. The question that I had to start -- you talked about going out to visiting your facilities, which you've already been doing, improving productivity, sharing best practices, you talked about a 2% to 3%, I think, kind of annual productivity goal within the organization to offset inflation and ultimately grow earnings. Berry has always done productivity well. What will you be doing differently? What enhancements do you expect to have occurred under your leadership, partnering with Mark, in terms of that overall cost-out productivity effort? And then, I had a follow-on. And how should it materialize? And I had a follow-on.
Kevin Kwilinski: Good morning, George. Thank you. I look forward to meeting you in person soon. As I've been out to the facilities, and I've been to I think about eight facilities now. I always like to ask the facilities about productivity and how they measure their productivity, what their pipeline of opportunities looks like? And what I noticed very quickly at Berry is when I asked about productivity, what I was told about was the return on capital projects that were designed to drive cost improvement. And to the credit of Berry, they have done incredibly well. This company is very rich with engineering talent, material science talent, and it's a credit to them what they've been able to drive. But what became clear to me was missing was a more fundamental process-oriented improvement opportunity using Lean tools, Six Sigma tools more thoroughly, and in a more comprehensive program that goes across all of the areas of the business. And I think, from my history and these material-intensive converting businesses that type of program on its own has an ability to drive significant conversion cost-reduction. And that's what I have in mind with that comment.
George Staphos: Thanks for that. That's really enlightening and, certainly, I think you did a lot of that multicolor from what I understand. So segueing, we look at Health, Hygiene & Specialties, obviously, it's been going through a tough couple of quarters. It was the one segment this year that had a negative price cost -- the other segments saw a positive price cost. Does that suggest that there is an enhanced opportunity to drive what you just mentioned to improve price cost and margin within the segment or no, you would expect that the price -- the productivity efforts will be largely centered in the three segments that are not under strategic review. Thanks and good luck in the quarter.
Kevin Kwilinski: Actually, the facilities I've visited so far have better cross-section of all the segments that we operate in. So I wasn't -- three -- I've been in three HHS sites out of the eight, large sites. And I would say what I previously said is applicable in all of the areas of the business.
George Staphos: Okay. Thanks very much.
Operator: Thank you. One moment for next question. And our next question will be coming from John Roberts of Mizuho. Your line is open.
John Roberts: Thanks very much. Nice quarter. Could you give us some color on volumes outside of North America? And you're going to be down in volume in the first quarter slightly. What do you think your exit rate and volume growth will be at the end of the year in 2024? What are you assuming in your guidance?
Kevin Kwilinski: Yeah. Our guidance is essentially flat year-over-year. We have some capital investments coming online that will hit more heavily in the second half, which allows some new growth from wallet share gain. So that's somewhat advantage in the second half. But in general, the outlook we took in building our guidance and our plan was a flat year-over-year performance. Now there are certain segments that are a little bit higher and some lower in that, but on average, it's basically flat year-over-year.
John Roberts: And volume outside the U.S.?
Kevin Kwilinski: I don't know Mark, we -- well, we've been a little bit tighter in Europe. I think we probably see more signs of stabilizing there may be compared to -- because it was further off, it's stabilized, we see signs of stabilizing, whereas North America, we probably felt was already stabilizing more earlier.
John Roberts: Okay. Thank you.
Operator: Thank you. One moment for our next question. Our next question will be coming from Phil Ng of Jefferies. Your line is open.
Phil Ng: Hey, Kevin. Looking forward to working with you going forward as well. Before you joined the firm, there were certain initiatives -- longer-term initiatives that have taken flight like returning cash back to shareholders, cost-out and potentially accelerating debt pay-down. That seems to be largely intact along with the strat review on HHS. So just wanted to know where you stand on these initiatives. And where do you see the best opportunities to unlock value for shareholders in the medium term?
Kevin Kwilinski: Sure. I think, with the caveat that I'm 50 days in and I'm still in the process of learning all the ins and outs of this business and understanding the pieces in totality. My initial impression is the strategy is sound and the overall direction is the right place we should be heading. But when you think about moving from A to B, it's not just direction, but it's how big of an engine do you put behind your vehicle. How big you're moving down toward that point? And where I see opportunity here is to create a more powerful engine around growth, I think the way we organize and think about organic growth, how we link product development that's really driven by sustainability through commercialization execution and shorten that cycle, increase the size of pipeline of opportunities and rigorously manage that process with a strong commercial excellence approach, and take a good strategy and through strategic execution focus really deliver more from it. And if I think about where is the value to be unlocked, I think, first and foremost, is we have the opportunity to unlock value by delivering consistent organic growth. And we have markets that we are participating in, that have long-term demonstrated low single-digit growth, and by us, differentiating our products through material science and engineering and by differentiating our service model, which we have a lot of opportunity to do. We can gain wallet share and add to that market growth trajectory with some share gain. So I'm highly confident we can take the strategy and move it forward at a faster pace.
Phil Ng: Super. That's great color. And then, the 2% to 3% productivity goal you're targeting going forward, maybe, Mark, provide a little history perspective, how does that stack up historically? Will that require a big step-up in CapEx going forward? And then within your guidance for 2024, you called out $55 million of price-cost carryover gained. Is that just a carryover stuff? Is there anything else, I guess, that could be on tap in 2024, that could be incremental and could be a source of upside? Thanks for all the great color, guys.
Mark Miles: Yeah. Sure. Thanks, Phil. With respect to -- hopefully, I'll address all parts of your question there. We have -- as Kevin mentioned earlier, we have a number of different productivity measures that the company has used over the years. We're going to work with Kevin to make sure we're delivering on the 2% to 3% goal that he's mentioned. And so, we'll be working on the various metrics to ensure that, that's delivering the value that we want. We're not at this point prepared to communicate an exact target on that, but are confident that it will be additive to our results and give us more confidence in our ability to achieve mid-single-digit growth on earnings. The goals that Kevin has established around productivity are outside of our CapEx program. So this would be additive to our capital initiatives. And the $55 million that you referenced is the carryover benefit from our $140 million cost reduction plan that we announced early in fiscal '23. I would say, most of those actions, 90% plus have been executed. And so, it's just a matter of getting the, carryover benefit in '24. There will be a small amount of benefit around $10 million that trickles into '25. And at that point, again, we would expect some of the benefits from the program that Kevin is leading, starting in '25 as well.
Phil Ng: Okay. Thanks, Mark. Appreciate it.
Operator: Thank you. One moment for the next question. Our next question will be coming from Gabe Hajde of Wells Fargo. Your line is open.
Gabe Hajde: Good morning. Kevin, welcome. I'll echo what everyone else has said. I recognize it's tough to comment sort of in a public format like this. But I was curious, you guys raising the dividend, but yet contemplating a fairly sizable strategic move or portfolio action. And I'm assuming my assumption is incorrect. But, you talked about also sustainably growing the -- you have talked about sustainably growing the dividend. So maybe one of the conclusions that I might draw is, the value indications that you're getting for that business are maybe a little bit better such that you can kind of really accelerate the deleveraging. That's kind of, maybe the first question.
Kevin Kwilinski: We're really not in any position to give guidance on the strategic alternative process. We'll be happy to do that when we have something meaningful to say. But what I will say is that we intend to hit that 3.5 leverage target or lower by the end of our fiscal year.
Gabe Hajde: Okay. I guess, the other one, Mark, maybe a little simpler would be -- if I do the build down, I guess, from EBITDA to the midpoint of the free cash flow guidance, there's a little bit of a disconnect. I think working capital was a pretty big source of cash this year. I recognize, I think there's maybe $50 million of some restructuring spend in fiscal '24. But are you embedding in any sort of working capital use of cash in '24? And if so, what is it?
Mark Miles: Yeah. Similar to prior years, Gabe, we assume a flat polymer environment. So working capital is pretty muted for the year. And we do have some carryover restructuring costs that are going to, reduce our cash flow in '24, and that's baked into the guidance. So just over, $50 million or so.
Gabe Hajde: Okay. Thank you. Good luck.
Operator: Thank you. One moment for the next question. Anthony of Citi. Your line is open.
Anthony Pettinari: Hi. Can you hear me?
Kevin Kwilinski: Yeah.
Anthony Pettinari: Hey. I just had a question on pricing, following up on Phil's earlier question. My understanding is the $55 million next year is cost out, which, I guess, is footprint optimization. Mark, you had talked about price increases that you were implementing. Is it possible to say how much unrecovered cost you're exiting '23 with that you expect to get back in '24 with the price increases? And is that number sort of separate or incremental from the $55 million, which is cost out?
Mark Miles: Yes. We were, in '23, we acted very promptly to recover inflation, that had occurred over the recent periods. Our outlook assumes a flat kind of price cost outside of the structural cost actions that we took in '23. But to the extent, there's incremental inflation, we will again be passing that through in a timely manner. So -- but our outlook assumes flat, as you know, following the company a long time, over 75% of the years, we are positive on price cost outside of structural cost actions. So we feel comfortable with a flat guide outside of the structural cost improvements that we drove.
Anthony Pettinari: Okay. That's helpful. And then maybe just -- maybe a follow-up question on pricing that's maybe a little bit more of a broader long-term question for Kevin. When you look at how Berry does pricing in terms of, percentage of sales that are on pass-throughs or contract terms or, how you match up against customers? And you compare that with the other packagers that you've, you've led? Are there opportunities or observations on the pricing side, when you look at Berry's pricing, understanding you're 50 days in?
Kevin Kwilinski: No. I think, in general, the approach has been quite similar to what I have seen in the past. And I would say they have a strong pricing discipline here at Berry. I think where we can find improvement as we think about our new product development and how we drive organic growth and where we focus our resources to drive that organic growth, we can pick areas that have more -- where we will have more long-term pricing power, where the cost of the package is a smaller ratio of the finished product being sold. Those kinds of metrics and building that into our process in a way that exposes us to larger profit pools.
Anthony Pettinari: Okay. That's helpful. I'll turn it over.
Operator: Thank you. One moment for the next question. Our next question will be coming from Ghansham of Baird. Your line is open.
Ghansham Panjabi: Thank you, operator. Good morning, everybody. Kevin, also extend my congrats on your new role. Best wishes for the future. Understanding it's very early in your tenure, can you share some initial observations on opportunities to, accelerate organic growth like you referenced? And just more holistically, how important will portfolio repositioning be in creating a platform to generate volume growth consistency, which has, obviously, been an issue for Berry over the years?
Kevin Kwilinski: Yeah. Thank you, Ghansham. I would say, the thoughts around growth and the opportunities, we have owned a very large opportunity around sustainability. And it isn't theoretical because the reality of the world we are in is -- Europe is quite a ways ahead of us. And we are operating in Europe -- and we are seeing where legislation is going and the opportunities it creates for new sorts of highly recyclable -- high recycled content, advanced recycle containing plastic products that the consumers want that fit within extended producer responsibilities and returnable, reusable options. And those drive very large opportunities for growth and share gain if we have products that are superior and differentiated. And I think a lot of the opportunity here will be to more tightly integrate the work that we're doing in Europe to expand over the larger footprint that we have, knowing that what is happening there is going to end up happening here in the US, and other markets. And I think -- traditionally, I think the company operated a bit more siloed than I would like to see in terms of the whole commercial organization process and how we leverage areas for growth. And I'm sure there will be other observations that come as I learn more about the business, but that would be my initial take.
Ghansham Panjabi: Okay. And then just from a high-level standpoint, I mean, clearly, the company has looked externally for growth over the last several decades really. Is it fair to assume that there's going to be more of an internal focus of the company over the next three years, let's say, as you sort of, modernize the productivity aspect and refocus on these growth initiatives? Is that a fair statement?
Kevin Kwilinski: I'm not sure I understood the question exactly. I'm sorry.
Ghansham Panjabi: More -- less acquisitions, more internal focus on productivity ramp-up…
Kevin Kwilinski: I see. Yeah, more focus on organic growth as opposed to acquisition growth.
Ghansham Panjabi: Correct.
Kevin Kwilinski: Yes. I think that will likely be the outcome just because we have a significant organic growth opportunity staring us in the face. But I think we also need to consider how acquisitions potentially help accelerate that growth. And I would say that brings up another area of thought that I have in terms of how we might be different in the future as opposed to how we've operated historically. And, when I think about strategic opportunities for acquisition, I think we need to make sure that the lens that we're using is highly focused on the future organic growth that it exposes us to, that it gives us new capabilities and know-how in order to spread across the business. So synergies are great, and we're very effective at executing on synergies and driving that to the bottom line. But we need to make sure that acquisitions we do are also part of our overall organic growth strategy and that they are meant to accelerate the underlying organic growth of the company.
Ghansham Panjabi: Very good. Thank you so much.
Operator: Thank you. One moment for the next question. Our next question will be coming from Arun Viswanathan of RBC. Your line is open.
Arun Viswanathan: Thanks for taking my questions. So just a couple of questions. So first on the free cash flow guidance for next year [Technical Difficulty] also down $100 million year-on-year. So could you just walk us through some of the [Technical Difficulty]
Kevin Kwilinski: Yeah. Good morning, Arun. You're breaking up a touch, just as a heads-up. But you got the items right. The other one would be working capital. Back to the question earlier, we had over $200 million benefit from working capital in '23 that helped produce the, $900 million plus of free cash flow. Our assumption going into the year is flat. Obviously, we're going to work diligently to drive savings over the course of the year. But consistent with prior years, we assume flat as the year starts. Those are really the only significant bridge items on cash flow.
Arun Viswanathan: And just another question on -- you mentioned local markets here, healthcare, pharmaceutical and so on. I think foodservice is now 20% of your portfolio maybe a little bit more. If you were to remove HH&S from the portfolio and that probably would get us to health care and maybe a couple of other areas. So how large do you expect some of these to get [Technical Difficulty], and how do you, I guess, plan to target especially, if you are in the disposition of HH&S?
Kevin Kwilinski: Yeah. Arun, I think I caught your questions. We're evaluating a wide range of alternatives for that business. We'll certainly update the metrics post whatever, update if and when we have, one. That would not change our focus on driving more growth and higher penetration in high-growth markets irrespective of the impact that, any potential transaction might result in.
Arun Viswanathan: Thanks.
Operator: Thank you. One moment for the next question. Our next question will be coming from Adam Samuelson of Goldman Sachs. Your line is open.
Adam Samuelson: Yes. Thank you. Good morning, everyone. I guess, the first question is. if you just think about the EBITDA outlook for 2024, basically flat to up $100 million of EBITDA. Just the midpoint is basically achieved with the year-on-year kind of carryover restructuring savings, flat volumes, flat price cost, and I guess it's plus/minus around that midpoint is the current thinking. You earlier alluded to potentially a better operating leverage if volumes surprised to the upside. How -- what's the magnitude that we could be thinking about to sensitize kind of your model to the changes in end-market demand going forward?
Mark Miles: Yes. Sure. I guess, I would answer it in two parts. As Kevin alluded to earlier, our outlook assumes flat volume. And I would keep in mind that was coming off of a very tough volume environment that included some level of destocking. So we're not expecting in our outlook of significant improvement in consumer demand, in fact, the opposite, right? We're assuming continued pressure and assuming some of the destocking goes away, depending on which way you want to assume those variables, those would drive us to the higher end of the range. With respect to the productivity goals, I think as mentioned earlier, it's a little too early to quantify. But, certainly, we're going to push to get the savings as soon as we can, and we'll continue to update you on our quarterly calls relative to our progress on those goals and the dollars that we can expect to benefit from achieving them.
Adam Samuelson: Okay. That's helpful. And then, on the volume kind of performance in the corner -- quarter and as you look forward, volumes -- the declines were less significant than they were. In prior quarters, the comps get easier starting from the last prior-year destocking. Has there been any changes in customer end market categories that you would call out as notable positively or negatively relative to the last couple of quarters?
Mark Miles: Yeah. I would say, generally, our consumer business, and as Kevin mentioned earlier, the U.S. is a little stronger than Europe, and that's consistent with our outlook and what we're hearing from our customers and seeing from our peers. But obviously, there's a lot of uncertainty and, we're encouraged by some of the recent reports about inflation and promotional activity. But too early to really, I think, declare victory. So we're -- as we said, taking a relatively cautious outlook, I think, as we look forward and we'll continue to be dynamic and nimble in our approach.
Adam Samuelson: Okay. That's all helpful color. I appreciate it. I'll pass the line. Thank you.
Operator: Thank you. One moment for the next question. Our next question will be coming from Michael Roxland of Truist. Your line is open.
Niccolo Piccini: Hi, guys. This is Niccolo Piccini on for Mike Roxland. Thank you for taking my questions. And Kevin, we look forward to working with you in the near future. In September, you announced that you're evaluating alternatives for HHS. But if I recall correctly, when you acquired the business, the AVINTIV business, you had initially intended it to be one of the company's growth drivers as you pivoted towards adult incontinence women care and diapers. What's maybe changed that's now not a core business or a growth driver and has put that in a position that you would consider those strategic alternatives, whatever they may be?
Kevin Kwilinski: Sure. I think, first of all, this is, obviously, a perspective from someone who wasn't here at the time. So I've got an incomplete understanding. But when I think about it, from my perspective, it's a tremendous business. It has good mid-single-digit growth over the long term. But it is a business that looks a lot more to me -- if I think about my history, it looks a lot more like being in the paper business than it does being in the other packaging businesses I've participated at, which means that -- I'm sorry, you're pretty loud there. Thank you -- which means that it is pretty capital intensive and the lumpiness of that capital requirement is much higher than the rest of the businesses that we have. So -- and it's more cyclical overall even though there is long mid-single-digit growth. So when I think about, what are we trying to achieve here? Well, we want to have consistent earnings, consistent cash flow, we want investors to understand our story and to know when they buy our stock, what they're getting, and what they're invested in. So we need to make sure that when we think about our portfolio, it looks alike and we're not confusing and we're not getting, we're not closing ourselves off to investors we would like to have because we have a very complicated story. So when we look at -- divesting it, we're looking at a good business that just is not a good fit for us and the long-term portfolio that we want to cultivate here.
Niccolo Piccini: Understood. I appreciate the color on that. And I guess just a quick follow-up. To the extent you can comment, I realize we'll get more updates from you as the situation kind of unfolds. But is there anything looking for any mile markers you're aware of in the process you can call out with the divestment or whatever alternative it may be?
Kevin Kwilinski: There isn't anything that I would be in a position to publicly comment on. I will assure you that we are doing a tremendous amount of work on this evaluation process.
Niccolo Piccini: Understood. Thank you very much. I'll turn it over.
Operator: Thank you. One moment for the next question. The next question will be coming from Joshua Spector of UBS. Your line is open.
Chris Perrella: Hi. Good morning, everyone. It's Chris Perrella on for Josh. I wanted to follow up on the EM, the Engineered Materials business, where you have really shifted the product mix. Are you done resetting the product portfolio in Engineered Materials? Or is there more work coming in 2024?
Kevin Kwilinski: Yes. I think we've got a lot of opportunity as we think about that business. And maybe more than any other business I've been a bit surprised by what is actually in that group, what the businesses that make it up are, especially when I think about the way it's named today as Engineered Materials, it's not the name, I think, that I would put on that business long term. And I -- and the issue is, we're pushing close to 40% of the volume that we sell out of that business, is actually consumer-facing. And my guess is that most investors don't really understand that. So when we think about how are we going to drive that business forward, we're going to use that business to help us close the gap on our consumer-facing goal. So we're trying to move from 70 to 80. And I think we can do that and still deliver the kind of high-margin significant scale, growth, that we have had out of that business historically. So I think, the emphasis there will continue to be on more consumer-facing aspects and less on some of the industrial legacy.
Chris Perrella: All right. And as a follow-up, as I think about capital allocation for 2024, I think your buyback authorization is $400 million, if memory serves. How should I think about the split between debt repayment and buybacks in '24? And then, with some of the debt coming due in '25, any thoughts about what to do with the term loan and the approach there?
Mark Miles: Yes. You're accurate on the buyback. We have $440 million remaining under the Board approved buyback program. We continue to work with the Board on a quarterly basis relative to our capital allocation strategy and detailed plans. We have a capital allocation committee that resides as well as part of the Board that provides in that regard. With respect to debt repayment, I mentioned in my prepared comments, we've already repaid $200 million of debt as the year has started. We generate a lot of free cash flow. We have more than sufficient liquidity. And, obviously, we have an open process with the HHS business that, could generate a substantial amount of additional cash flow for the company that the Board and the committee can decide how to allocate. But we're certainly cognizant of our debt and the maturities and continue to evaluate our payment options on that debt.
Chris Perrella: All right. Thank you very much.
Operator: Thank you. One moment for the next question. Our next question will be coming from Matt Roberts of Raymond James. Your line is open.
Matt Roberts: Hey. Good morning, everybody, and thanks for your time. On really just one for me. But as we look to past divestitures that the company has done, in what areas of the business has that created any cost dis-synergies or inefficiencies, if any? And if you think about the raw material procurement and pass-through mechanisms, are there any dissimilarities between HHS and any of the other segments? Thanks again for taking the question.
Kevin Kwilinski: Yeah. I would say with respect to our past divestitures, obviously, each of our businesses has various levels of synergies with the rest of the business. The divestitures that we have completed to date have been on the lower end of that spectrum. So while there has certainly been some negative synergy, it's been on the lower end of the range of synergies of our businesses inside the portfolio. And can you repeat -- I'm sorry, the part about -- your last part of your question about HHS?
Matt Roberts: Is there much difference in basically the raw material procurement or any of the pass-through mechanisms that you have in that business compared to the others?
Kevin Kwilinski: Yes. I would say our pass-through mechanisms are similar in terms of polymer pass-through. We have a number of different arrangements, but the lag on polymer pass-through is pretty similar in that business to the rest of our portfolio. With respect to sourcing, there are many common raw materials. When we did that acquisition, that was before the RPC acquisition, which was a much larger acquisition relative to scale. So we do not believe, any activities that may conclude from our process would negatively impact the base company relative to cost synergies.
Matt Roberts: Very helpful. Thank you.
Operator: Thank you. One moment. And we have a follow-up question from George Staphos of Bank of America. Your line is open.
George Staphos: Thanks very much, everyone. Just a quick follow-on. You had mentioned that for the year, foodservice grew, I think you said double digits. Was that your experience in terms of the fourth quarter? And could you comment specifically there in terms of what trends you're seeing in foodservice into fiscal '24? Thanks again, and good luck in the quarter.
Kevin Kwilinski: Yes. Sure. Thanks, George. With respect to foodservice, had another great year in '23, and that's been a strong performing franchise for decades now, really since that product was introduced around the year 2000 actually. The growth in Q4 was, slightly below double digits, but still strong as we were lapping some of the new wins that we got around a year ago. We're expecting continued growth for that business in '24. We continue to add incremental capacity to service demand for our cup as we continue to take share from both paper and styrofoam.
George Staphos: Thank you very much.
Operator: Thank you. This does conclude the Q&A session for today. Now, I would like to turn the call back over to management for closing remarks. Please go ahead.
Kevin Kwilinski: Thank you, operator. I'd just like to thank everyone for your interest and participation and we look forward to telling you more in future calls. Thank you.
Operator: Thank you for participating in today's conference call. You may all disconnect.